Operator: Good day, and thank you for standing by. Welcome to the SunCoke Energy, Inc. Q1 2021 Earnings Call. [Operator Instructions] After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Shantanu Agrawal. Please go ahead.
Shantanu Agrawal: Good morning and thank you for joining us this morning to discuss SunCoke Energy's first quarter 2021 results. With me today are Mike Rippey, President and Chief Executive Officer; and Allison Lausas, Interim Senior Vice President, Chief Financial Officer, and Controller. Following management's prepared remarks, we'll open the call for Q&A. This conference call is being webcast live on the Investor Relations section of our website and a replay will be available later today. If we don't get to your questions on the call today, please feel free to reach out to our Investor Relations team. Before I turn things over to Mike, let me remind you that the various remarks we make on today's call regarding future expectations constitute forward-looking statements. The cautionary language regarding forward-looking statements in our SEC filings apply to the remarks we make today. These documents are available on our website as are reconciliations to non-GAAP financial measures discussed on today's call. With that, I'll now turn things over to Mike.
Mike Rippey: Thanks, Shantanu. Good morning and thank you all for joining us this morning. Today we announced SunCoke's first quarter results, and before I turn it over to Allison, who will review the results in detail, I want to discuss a few highlights. First, on safety, I would like to thank all of my fellow SunCoke teammates as well as congratulate them for their continued commitment and contributions. The dedication of our team is clearly visible through our excellent safety performance where we achieved 0 recordable injuries during the first quarter, a record for our company. On the Coronavirus front, we continue to take all necessary measures to ensure the health and safety of our workforce and have implemented policies and procedures to follow the guidelines established by the CDC, OSHA, and local health and governmental authorities to protect our workforce and contractors. Turning to our results. In the quarter, we are extremely pleased with the operational performance that our team delivered across both our Coke and Logistics segments. Our cokemaking operations returned to running at full capacity and our Logistics operations saw a significant uptick in volume. We achieved record-setting first quarter results with adjusted EBITDA of $70.6 million, a 14% improvement over Q1 2020. We are also pleased with our initial performance in the foundry and export coal markets. Our products are well received and we are excited about the possibilities in these markets in the future. We will continue to work on optimizing our production and growing our market participation for these products. A very encouraging development for our Logistics segment this quarter was the signing of a new take-or-pay agreements to handle iron ore pellets at CMT. As we discussed in our last call, we successfully tested this product during the fourth quarter of last year, which has resulted in a take-or-pay agreement and a new product for our Logistics business. Looking at our capital structure and deployment of cash in the first quarter, we reduced debt by $33 million during the quarter and continue to execute on our deleveraging initiative while also maintaining our $0.06 per share quarterly dividend. We are well on our way to achieving our long-term gross leverage target of 3x or lower by the end of this year. Overall, very strong operational and financial performance in the first quarter provides a solid foundation to build on for the rest of the year. We now expect results at the top end of our 2021 guidance of $215 million to $230 million. With that, I'll turn it over to Allison to review our first quarter earnings in detail. Allison?
Allison Lausas: Thanks, Mike, and good morning, everyone. Turning to Slide 4, our first quarter net income attributable to SXC was $0.20 per share, up $0.14 versus the prior-year period, mainly driven by our Logistics segment performance. Adjusted EBITDA came in at $70.6 million in the first quarter of 2021, up $8.5 million versus the first quarter of 2020. The increase was primarily due to approximately 1.1 million tons of higher throughput volumes at our Logistics segment. Turning to the detailed adjusted EBITDA bridge on Slide 5. First quarter 2021 adjusted EBITDA was higher by $8.5 million or 14% over the prior year period. Our coke operations performed well this quarter and results were reasonably consistent with the first quarter of 2020. The majority of the period-over-period increase in adjusted EBITDA was driven by our Logistics segment as CMT saw a significant increase in coal export volumes driven by strong global demand and supported API2 pricing. When adding in slightly favorable results in Corporate and Other, we ended first quarter at $70.6 million of adjusted EBITDA. Turning to Slide 6 to discuss our Domestic Coke business performance in detail. First quarter adjusted EBITDA per ton was $61 on 1.038 million sales ton. Our Domestic Coke fleet ramps back up to full capacity utilization during the first quarter of 2021 after the volume trend down in the second half of 2020. Foundry and export sales complemented our long-term take-or-pay contracted sales and are expected to continue to do so for the rest of 2021. As a reminder, foundry tons do not replace blast furnace tons on a ton-per-ton basis. For example, due to differences in the production process, a single ton of foundry coke replaces approximately 2 tons of blast furnace coke leading to lower coke production and sales in the current quarter as compared to the first quarter of 2020. Our coke plants continued their strong operational performance and disciplined cost management during the quarter while producing and selling new products. On the back of strong first quarter '21 - 2021 performance, we are on track to achieve our full year Domestic Coke adjusted EBITDA per ton and production guidance. Moving to Slide 7 to discuss our Logistics business. The Logistics business generated $10.9 million of adjusted EBITDA during the first quarter of 2021 as compared to $3.3 million in the prior year period. The increase in adjusted EBITDA is primarily due to higher throughput volumes at CMT. Our Logistics business handled 5.3 million tons of throughput volumes during the quarter as compared to 4.2 million tons during the prior-year period. CMT handled 1.6 million more tons versus the prior-year period, mainly driven by higher coal exports and iron ore. Increased global demand, strong API2 Index pricing, and increase in natural gas prices have resulted in higher thermal coal exports from the U.S. We expect export volumes to remain strong in the second quarter. Although our domestic terminal volumes were lower compared to the first quarter of 2020, it was more than offset by lower operating costs resulting from the cost savings initiatives implemented last year. Given our very strong first quarter 2021 results and looking at the API2 forward curve, we now expect to deliver at the higher end or possibly even exceed our Logistics adjusted EBITDA guidance range of $20 million to $25 million. We expect to handle approximately 5 million tons of coal at CMT as compared to our original guidance of 4 million to 5 million tons, along with 2.5 million to 3 million tons of other products for which the guidance remains unchanged. The volume guidance for our domestic coal terminals also remains unchanged at approximately 10.5 million ton. Turning to Slide 8 and our liquidity positions for Q1. As you can see from the chart, we ended the first quarter with a cash balance of approximately $54 million. Cash flow from operating activities generated close to $65 million due to strong operating performance and the timing of cash payments. We spent $20.1 million on CapEx during the quarter, which included some carryover payments from last year. We lowered our debt by $33 million during the quarter, with the majority of the reduction coming in the form of pay-downs on our revolving credit facility. We expect additional deleveraging to continue over the balance of the year as we continue to make good progress managing our balance sheet. We also paid dividends worth $5.1 million at the rate of $0.06 per share during the quarter. In total, we ended the quarter with a strong liquidity position of approximately $386 million. With that, I will turn it back to Mike.
Mike Rippey: Thank you, Allison. Wrapping up on Slide 9. As always, safety in operational performance is top of mind for our organization. We look to continue our exceptional safety performance demonstrated in the first quarter while focusing on successfully executing against our operating and capital plan in 2021. As I mentioned earlier, we are pleased with the progress we have made during the first quarter on our foundry and export coke growth initiatives. These additional sales enable our coke fleet to run optimally at full capacity and we will continue to focus on further developing our customer base and participation in these markets. From our Logistics business perspective, the new iron ore take-or-pay agreement is another step in the direction of revitalizing CMT as we continue our efforts to bring new products and customers. The uptick in coal exports underpinned by the revised take-or-pay contract provides a strong foundation to further build upon at CMT. We again made good progress on our well-established and well-balanced capital allocation goals. Continuing to bring down our debt balance is critical to stabilizing and strengthening our capital structure. We will continue to evaluate capital needs of the business, our capital structure, and the need to reward shareholders on a continuous basis and we will make capital allocation decisions accordingly. Finally, as I stated earlier, continued strength in steel and coal export markets combined with our excellent first quarter results leads us to comfortably project full year results at the high end of our adjusted EBITDA guidance. We will provide further updates to the guidance as we have more clarity about the second half of the year in our next earnings call. With that, let's go ahead and open up the call for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Matthew Fields from Bank of America.
Matthew Fields: Just want to ask a few here on the business. What was the foundry coke volumes in the first quarter?
Mike Rippey: Matthew, thanks for your question. But as we indicated in the past, we don't intend to discuss specific volumes or price components of the foundry coke or export sales activities. As you can appreciate, I know, particularly the foundry coke market is a smaller market and to discuss any detail, our participation would not put us in a comparatively good position. But I think it's worth noting, Matthew, that we set out on this foundry initiative going back a little over a year and as you can see in our first quarter results, we've exceeded in a very modest way. Our expectations for the coke business, we came out of last year in a turned down position, and we're fortunate enough to have a good weather and great operations. We're running full capacity in the first quarter. So the objective there was to allow us to continue to run full and to do so profitably. And I hope you can agree that we had a very nice first quarter on our coke operations. So foundry has gone exactly as we'd expected it to.
Matthew Fields: And then, previously you guys have in your slide that you've given, when you break down kind of the quarterly shipments in Logistics, you've given the CMT EBITDA like an EBITDA attributable to content specifically and I think that's missing this quarter. Is that a departure from policy, do you - are you not going to provide that anymore or is it just an oversight and you can give that to us?
Mike Rippey: No. It's not an oversight, Matthew. It's purposeful and some of the foundry as we are now repositioning CMT, we expect to be serving different customers, different markets over different time periods, different circumstances. So to discuss in any level of detail the profitability of CMT, again, given the competitive situation down there in the Gulf might disadvantage us in the commercial markets where we have to compete every day.
Matthew Fields: I'm afraid of going over three here, but...
Mike Rippey: Those are good questions, but I hope you can appreciate the necessity to protect ourselves commercially that's all I ask.
Matthew Fields: Understand. Maybe I'll ask in a different way here. The iron ore take-or-pay contract, is that with the U.S. customer or a foreign customer?
Mike Rippey: It is with a U.S. customer.
Matthew Fields: Okay. Investment-grade rated customer?
Mike Rippey: That's all I'm going to say now. I probably already said too much because all I did was invite the next question.
Matthew Fields: And then, just sort of just got on the back of the guidance for cash flow for the year. $80 million to $100 million, maybe you're closer to the top end of that if you're sort of guide - hitting the top end of everything else. That kind of implies close to $55 million of cash flow for the next 3 quarters, which gets you basically all the way paid off on the revolver year end. Is that - obviously, things can happen and we don't know what the future holds, but is that kind of the plan if that - the cash you're generating for the rest of the year kind of whittle down that revolver balance over the next 3 quarters is as low as you can get it?
Mike Rippey: In here, you're factoring the goal for 3, you're exactly right. So you're now going 1 for 3. You're in the Hall of Fame because you bet at $333 million.
Operator: [Operator Instructions] Your next question comes from the line of Lucas Pipes from B. Riley Securities.
Lucas Pipes: Well, try to do better than $333 million but good job on the quarter. And first question, Mike, just to hone in a little bit on how the business is running versus your expectations. You talked about an update 3 months from now. The meantime comfortably upper end of your previous guidance range and what I'm looking for in my first question is a little bit more color as to what's been driving the better-than-expected performance, is it foundry coke, is it export, is it domestic customers coming back looking for more volumes on the back of the strength in the steel market? Just a little bit more color on that, I would appreciate it. Thank you.
Mike Rippey: Yes, good question. Lucas, the outperformance doesn't have to do with our volumes, we expected to run full and we did. So whether it's our domestic customers or export customers or our foundry customers, we're meeting the expectations we've set out for ourselves with regard to all three of those markets. Sale performance really comes on the cost side. Our teams did absolutely a wonderful job here in the first quarter and I'm very much appreciative of their hard work. Also, you can appreciate, in the first quarter, we don't have a lot of outage work. We choose not to do outages in the first quarter because weather can really wreak havoc on those outages. Sometimes new outage work, it's necessary to reduce your production during that time frame, reduce your electricity, your steam production during that time frame. And the work we did during the first quarter, albeit limited, had no impact on our production. So the teams had a wide-open field from which to perform. So and they took advantage of that opportunity. Certainly, winter can present challenges for manufacturers like ourselves, and this winter with the exception of a few weeks, was relatively a mild one. So we had a little bit of wind in our back there too, but I don't want to take anything away from the performance of the teams. They all performed at very, very high levels, and they exceeded our expectations for our performance on the cost side.
Lucas Pipes: And then, just kind of looking ahead, there is another step down in your Domestic Coke minimums in 2022 and just looking for an update here. Are there ongoing negotiations? Are you predominantly looking to the export market, more foundry coke business on - as those minimums step down? Do you just - what's your plan for that? I'm sure you can appreciate this is an important question for investors. Thank you.
Mike Rippey: No, it's an excellent question and the answer is all three. It's premature to comment as to which one of those alternatives will ultimately win out for '22 and beyond. But we are in discussions with our domestic customers, we continue to look to grow our export and our foundry coke business. Economics will drive that and obviously as we get closer to '22, we will be providing updates as to be the fruits of those labors. But I think, for now, and we got a 400,000 ton hole to fill, if you will, this year and the year's not over yet, but we are running full and expectations are for '21, we'll continue to do so. So we need to continue to build on those initiatives. That's where our future success lies.
Lucas Pipes: Mike, just now, you said for '21 expectation, was that '21 or '22.
Mike Rippey: '21, we expect to run full in '21. We had 400,000 tons to fill and we expect to be able to fill those tons in '21.
Lucas Pipes: And for 2022, is there a concern that you may have to run at reduced utilization rates, what - if one of the three initiatives fall short, is - what would be the contingency plan for that?
Mike Rippey: If those plans fall short, we obviously run at less than full capacity. It's not our intention or our desire or our goal to not run full next year. We believe, quite strongly that we produce a very high-quality product, second to none in the market, whether it's for domestic market or the global market. Our coke and its physical properties, its utilization in blast furnace is unrivaled. So, we believe we've got a wonderful product, we believe we're a low-cost producer and it will be my dying belief that low-cost producers of quality products should be able to run their facilities full. So it's my strong belief and I have the intention to see our facilities run full there, well maintained, as you know, they're reliable and customers appreciate these things.
Lucas Pipes: Not sure if this will count as a single or not but appreciate your perspective. Last one from me on the iron ore take-or-pay, probably strike out on this one but can you give us a little bit more context around term volume? Just a little bit more color for investors to appreciate the opportunity here. Thank you.
Mike Rippey: No, it's - you're going to strike out and this one, Lucas, but you're going to - still going to go to the Hall of Fame too. So don't feel badly, but we again for commercial reasons, and I hope you can all appreciate the sensitivity. We're just not going to go into the specifics of these new agreements we're reaching as we revitalize CMT.
Lucas Pipes: I hope we'll see each other in the Hall of Fame shortly.
Mike Rippey: Thank, Lucas.
Operator: Your next question comes from the line of Brett Hendrickson from Nokomis Capital.
Brett Hendrickson: You said something to Lucas that reminded me of some of those, I mean to ask you. You talked about the quality of your coking coal. There has been some - one steel manufacturers and even some of the car manufacturers have been talking about call it an environmentally more friendly coal and could you just talk about where you guys might have an advantage there that you kind of - it seems like increasingly focused by the month on that. So talk about maybe where that creates advantage and maybe how that fits into some of the comments on 2022.
Mike Rippey: It's a good question but it's actually quite a complex question, but I'll try to be brief in my answer. The question really revolves around environmental performance and more particularly greenhouse gas emissions. I think our environmental record speaks for itself. Over the MAC standard, no one's built a coke battery in United States utilizing technology other than ours since 1998 and that remains the case. We don't have water discharges and we can bust the particulate matter in our coke production process and produce electricity and steam. So environmentally, our process is the standard and that's the broader statement. The more focus question around greenhouse gas goes to the reduction in greenhouse gas emissions in the production of steel. And the science is a bit complex here but simply our product by its nature is a very high strength product. CSR is the term you hear tossed around and what that allows steel-makers to do is reduce the amount of coke in the furnace and remain able to support the burden inside of the blast furnace and substitute in other materials whether it be natural gas or BHPI. So our products specifically allow for less greenhouse gases to be thrown off in the production of iron. So we believe that we offer an environmentally friendly product, both in the production of the product itself, that's the cokemaking as well as it allows steelmakers to reduce their greenhouse gas emissions in their iron making process.
Operator: There are no further questions at this time. I'll turn the call back over to Mike Rippey.
Mike Rippey: Okay. Thank you, all, again for joining us in the call this morning, and of course for your continued interest in SunCoke and we look forward to discussing our results in the second quarter call. So thanks again and as always, if you have questions, Shantanu and team stand ready to answer them after the call. Thanks, again.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.